Operator:
. : And I'd like to turn the conference over to Heather Nikkel, Vice President, Investor Relations and Sustainability. Please go ahead.
Heather Nikkel: Thank you and good afternoon, everyone. Welcome to Artis' fourth quarter and yearend 2021 conference call. With me today is Artis' President and CEO, Samir Manji; CFO, Jaclyn Koenig; COO, Kim Riley and Executive Vice President US Region, Phil Martens. Our fourth quarter and yearend 2021 results were disseminated yesterday and are available on Cedar and on our website. A replay of the call will be available until Monday, April 4th, 2022. The telephone numbers and passcodes for the replay were provided in yesterday's press release and an archived recording of this call will also be made available on our website. Before we get start, please be reminded that today's call may include forward-looking statements. Such statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied today. We have identified such factors in our public filings with the securities regulators and suggest that you refer to those filings. As we discuss our performance, please keep in mind that all figures are in Canadian dollars, unless otherwise noted. With that, I will turn the call over to Samir.
Samir Manji: Thank you, Heather. Good morning to those of you in the West and good afternoon to those that are in the East. Welcome and thank you for joining us for our 2021 annual results conference call. As we've done in previous calls, I'll keep my comments today brief before handing it back to the operator to moderate the question-and-answer session. I appreciate that most attendees will have already reviewed our Q4 results. So we will not repeat most of the qualitative and for financial information you are already familiar with. Instead, I will focus the majority of my remarks on the progress we've made in the implementation of the business transformation plan we announced on March 10 last year. Let me start by saying what a year it has been, both for artists and for the industry as a whole. When I reflect on the last 12 months, since we announced our new vision and strategy, time seems to have flown by. Yet when I look at what we've accomplished in that time, I'm reminded of the hard work that the board and every member of the team at Artis has put in each and every day to help move our vision and strategy forward. One of the first steps and what I referred to as the linchpin to implementing our strategy was to unlock value through the monetization of certain assets in our portfolio. This important step provided us with the resources and financial flexibility to execute on other elements of the strategy. In 2021, we sold 41 assets for an aggregate sale price of $858.6 million. These dispositions include did the sale of our GTA industrial portfolio, which represented a milestone transaction for Artis and in Q4, we sold all of our remaining Calgary office properties. These transactions contributed to improving our debt metrics while also enabling us to focus on a key aspect of our strategy, specifically our capital allocation plans. In Q3, we announced our participation in the investor group to acquire common REIT. My apologies. In Q4, we announced our participation in the investor group to acquire common Cominar Real for $11.75 cents per unit a price we believe is significantly below the intrinsic value of the underlying assets we were acquiring. Along with the $112 million we invested in common equity units as part of the transaction, we also invested a $100 million in junior preferred units that carry a distribution rate of 18% per annum, an attractive return for our unit holders. Since the announcement in October, we've been working with our consortium partners towards the closing that happened earlier this week. During this time, our conviction in the intrinsic value of Cominar Real Estate portfolio and the corresponding value creation we will achieve for our unit holders has only strengthened and solidified further. During 2021, we also began accumulating a position in dream office, which culminated in the announcement earlier this year that we together with our joint actors now have a 10% ownership position in dream office. We look forward to providing updates on both these important capital allocation initiatives in the quarters to come. In addition to these investments, we continue to reinvest in what to date has been the best investment we can make for our owner. By October 2021, we had purchased a maximum number of common units allowable under the NCIB until such time, as it was renewed on December 17, 2021, following which we continued with our buyback program. During the year, we acquired over $11 million units for a weighted average price of $11.29 a price well below our year end and net asset value you per unit of $17.37. We continue to see our NCIB as a powerful tool for enhancing value for our unit holders and we will not hesitate to continue to use it anytime our unit's trade at a significant discount to net asset value. The last area of our capital allocation strategy that I wanted to touch on is our development projects. During the year, we made significant progress at 300 Maine, our 40 story commercial and residential development project in the heart of Downtown Winnipeg. Later this month, Earl's kitchen and bar will be opening their new location on the ground floor at 300 Maine. We look forward to welcoming them to the property. We also have several industrial development projects underway in the US, including Blaine 35 in the twin cities area, the fifth and final phase of Park 890 in Houston and Park Lucero East in Phoenix. These projects are generating strong pre-leasing interest and we look forward to providing updates on leasing progress at these properties over the next several months. In general, we continue to benefit from significant value creation on projects as building costs continue to be well below our estimated fair market values upon completion. Switching gears from capital allocation initiatives to another important component of our go forward vision for Artis and that is our commitment to creating an ESG mind culture. This commitment is of paramount importance to our board and to our management team. Behind the scenes, an incredible amount of work has gone into ESG at Artis over the last year from reviewing all board and committee mandates, charters and policies to overhauling our executive compensation framework, to align with best practices in performance based compensation, to the creation of an internal ESG committee that brings together a team of employees across all of our offices that have diverse perspectives and most importantly, a real commitment to ESG. These are all only a few examples of the exciting work we've been doing, and we're looking forward to publishing our annual ESG report in the coming months to share updates on the progress we've made over the last year. So here we are almost at the one year anniversary of last year's business transformation plan announcement and we can say with confidence that execution of our plan is well underway. Artis is not the company today, that it was a year ago. Our debt metrics have improved, our net asset value per unit has increased significantly and we've taken considerable strides towards transforming Artis into a value investing asset management and investment platform, but there are still lots of work to do. I'd like to thank our trustees and the strong and dedicated team we have at Artis on both side to the border for their hard work over the last 12 months. It has been an exciting year and we continue to have strong conviction in our strategy and optimism for the opportunities that lie ahead in 2022. With that, I'll turn it back over to the operator to moderate the question and answer session.
Operator: And your first question will be from Jenny Ma at BMO Capital Markets. Please go ahead.
Jenny Ma: Thanks. And good morning slash afternoon.
Samir Manji: Hi Jenny,
Jenny Ma: Wondering with regards to Artis' equity ownership in the Cominar entity will there be a formal distribution associated with this equity ownership and also how do you expect the P&L from that piece to be accounted for within Artis' income statement?
Samir Manji: Thanks, Jenny, I'll cover the first part of the question and pass it over to Jackie for the second part. As it relates to distributions, we will in the coming quarters be providing more information and updates as we make progress in the execution of our plan and strategy with our consortium partners on Cominar. We're going to try to do that in a thoughtful way while also respecting the responsibilities and fiduciary duties we have to our partners in that consortium from a information management standpoint and disclosure standpoint. Suffice it to say that one can one can do the back of the envelope mass, on what the structure looks like with the Cominar investment and the near term focus is going to be on debt reduction versus equity repatriation and/or distributions to equity holders. So again, more to come on that in the months and quarters to come, but we are not anticipating any equity distributions over the course of the certainly next two or three quarters. And I'll pass over to Jackie.
Jaclyn Koenig: Hi, Jenny. This investment's going to be an equity accounted investment, so it'll show up as a singular line on the balance sheet, as well as on our income statement and then disclosure on our proportionate share of the investment will be in our note five, our equity account investments.
Jenny Ma: Okay, great. Thank you. So when we about the strategy overall and the business transformation plan maybe the question is for Samir, is there any division or component or geography of the portfolio that you would consider to be core to Artis Real i.e. not something you would really look to sell ever if you can help it or is everything on the table when you consider how to structure the portfolio over the longer term.
Samir Manji: Thanks, Jenny. So again we will comment further on the plan and strategy in time to come but suffice it to say our primary motivation here alongside our consortium partners was what I expressed earlier, and that is our ability to have transacted at a value and price well below what we believe the intrinsic value of the roughly 83 assets that we have retained are worth in the private market. And we look forward to the value creation that this is going to provide to Artis' owners alongside our consortium partners.
Jenny Ma: Okay. Maybe I wasn't clear. I meant Artis' current portfolio putting aside the common Artis' Reit.
Samir Manji: Thank you very much. Thank you very much for clarifying. And so from Artis' perspective specifically I would say that, we continue as we have been working through the implementation of our plan to evaluate where we believe the best growth opportunities lie in our direct ownership component of our asset base. And I would say that when I think about north America, there are several markets that continue to have very strong growth factors in play or growth forces that bring us confidence. And the idea that some markets and some assets will remain core is, is an interesting one. What I would say is generally speaking, we look at a market like greater Phoenix. We look at markets and more specifically asset classes within those markets such as Western Canada and our retail assets, our industrial assets in those markets as core. Having said that, we are going to be entrepreneurial and is as stewards of the capital of our owners. If something preemptive unsolicited comes our way at a minimum, you know, we have to consider it and we will share that and present that to the board's investment committee for their knowledge and ultimate their deliberation and consideration.
Jenny Ma: Okay, great. And then maybe one last question on the operation side, looking at the mark to market on the in place rent versus market and for the industrial portfolio, it seems to be fairly flat. I'm just wondering why that is the case, given how strong the industrial market is. I know you've got various geographies and some assets are on the smaller side, but maybe a bit of color on why there isn't much of a differential on what you might be expecting over the near term.
Jaclyn Koenig: Thanks, Jenny. I can take that one. So the industrial rent, I would agree with you. They are growing in every market and in looking at the detail, it looks like there's a few leases that are coming up that have amortization that's built into the rates. So those rates that we've put in into the table are conservative, and obviously we're going to work with our leasing teams to do the best that we can in the last few leases that have come up, we've been able to achieve rates that are higher and the rates that are in place. So we have every confidence that we're going to be able to do better than what's in that table. And again, those numbers are just conservative.
Jenny Ma: Can you give us a bit more color on, on how much better the recent leases have been coming in at,
Jaclyn Koenig: I dunno if we have a percentage in mind, but you know, a few percent, so this year, our, our wary was 4%. So, hopefully we able to achieve something similar going forward, industrial rates are increasing in every market, literally, you know, day by day, we see them getting higher and you do a deal at one rate and, you know, a month later you think you could, you could have done a better deal. So I think it's probably a little bit difficult to say exactly what percentage we could get, but given the growth and the industrial, a market and the strength of the industrial market, I think it's easy to say that, you know, we will be able to do to do better and do as best as we can.
Jenny Ma: Okay. I look forward to seeing that then. Thank you. I'll turn it back.
Operator: Next question will be from Jonathan Kelcher at TD Securities. Please go ahead.
Jonathan Kelcher: Thanks. Just going back to the Cominar investment the 18% preps, how long do you expect those to be outstanding? 
Samir Manji: Hey, Jonathan thanks for the question. We have structured the 18% so that we have a 1.18. So at a minimum, even if that prep gets distinguished on, in less than a year, we will achieve the full 18%. We will provide a bit more color and disclosure on that as we move forward. But it is not required to be repaid earlier than a year. And in fact has a three year, three year term attached to it.
Jonathan Kelcher: Okay. And that's cash 18%.
Samir Manji: No we have incorporated a pick provision. So there is the option for the consortium to accrue and compound.
Jonathan Kelcher: Okay. So that's the more, that's the more likely scenario
Samir Manji: In the short term? Yes, again the overall structure requires for a preference to certain participants in the capital stack from a debt perspective to have priority in debt reduction which we are very comfortable with in light of the as I commented earlier the intrinsic value of underlying assets.
Jonathan Kelcher: Okay. And then I guess in a year, $213 million or $214 million into the, the Cominar investment, would I be write in thinking that Sandpiper will get paid just over a $1 million annually on the Cominar investment or how should we think about that?
Samir Manji: No this is no longer a public security investment, so Artis will not be paying Sandpiper any fees from the investment that Artis has made.
Jonathan Kelcher: Okay. And then lastly you announced the stake in Dream. How many names would be in your public securities portfolio right now?
Samir Manji: Jonathan, we're not going to comment on that. At this point, what we will continue to do as we navigate forward is to disclose either on a need to basis or when we believe it is of strategic value and benefit. And I appreciate, that's not your question but that will include the number of public securities that we have on our balance sheet. One can do the back of the napkin math in so far as what we have disclosed to date, and the fact that the dollar value of those investments are relative to what we announced on the 10% crossing on dream office represents.
Jonathan Kelcher: Okay. Well, and then, and just lastly back to the 18% that that'll be in FFO correct. That's income in FFO.
Jaclyn Koenig: That's correct.
Jonathan Kelcher: Okay. Thanks. I'll turn it back.
Samir Manji: Thanks, Jonathan.
Operator: You, next question will be from Nick Rock [ph]. Please go ahead.
Unidentified Analyst: Hi, thank you for taking my question. It's nice to see the leasing spreads going up about a hundred percent over year so well done on that one of the indicators of the SP NOI, just curious if you can provide a little color on the plan to get that back into a positive territory? And second question is, is, do have a sensitivity laid out for SP NOI spreads, above or below zero about how much that hits the NAV?
Jaclyn Koenig: I can address the first question. So interviewing the SP NOI over the last year, the main drivers of Spino are kind of the same as they were last quarter. Most of those properties have been released. So in the coming quarters, that should be improving. There are a couple pockets in, in our Minneapolis industrial portfolio that we are working on right now. And so we hope to have some positive news on those going forward. So overall in the year, looking ahead there should be significant improvements to SP NOI. And then, could you repeat the second question? Not sure that we understand,
Unidentified Analyst: Hi, sorry about that. Yeah, I was wondering if you're willing to provide any sensitivities as far as SP NOI relating to net asset value knowing that you know, when you're, you know, percent below zero versus a percent above zero sort of, of ads or moves net asset value to the company. Just curious if you have any color on that, but I think you did sort of answer the question that you expect a significant improvement over the year. Are you saying that you appear that it appears that they'll be starting to have positive NOI or SP NOI by the end of this year?
Samir Manji: Yeah, maybe I'll now that we have that clarity, thank you for that, Nick. This does not generally impact our net asset value for unit calculation generally from a valuation standpoint the approach that one uses is to use normalized NOI market cap operates in stab and then market caps in establishing fair value on our assets. And so the short to medium term fluctuation in NOI will not have a bearing on net asset value per unit.
Unidentified Analyst: Okay. Thank you very much for your answer. I appreciate it.
Operator: Thank you. Next question will be from Matt Kornack at National Bank Financial.
Matt Kornack: Hi guys. Matt, just a quick follow up on the Cominar questions yet earlier, is there a potential, or can you kind of speak to your ability or control to potentially purchase some of the assets and bring them on balance sheet or is this purely kind of a realize the discount to NAV story in that vehicle?
Samir Manji: Thanks for the question, Matt. The opportunity to acquire assets within that portfolio is available to Artis as it is to each member of the consortium, but we anticipate our focus in regards to this investment is going to lie more to our is the latter scenario that you touched on in in seeing value creation without having to put any assets onto our balance sheet. It doesn't mean we won't again, that's open for consideration as we move forward but that's not going to be the driving factor in the execution of our investment strategy here.
Matt Kornack: Okay. Fair enough. And then there are some gems, obviously in, in what you got there, are you in the process of selling any of those kind of core assets at this point? Or is that process I mean, I guess you've just closed, but what, what should we think timing wise on that process?
Samir Manji: This is going to be a multiyear strategy and what I would say, and this, I think is a reflection of what we commented on earlier in so far as the intrinsic value of, of what we have acquired together with our consortium partners, but for the benefit of our owners, of Artis for our Pro rata share; is that we leading up to, and even in the short period, after closing earlier this week have had a significant inbound interest unsolicited with buyers, who have interest in, I would say a wide range of individual assets, not just the trophies. And there are some, as you put it real gems in the portfolio. There's a, quite a mix of assets. And again, this was part of our thesis both on the Artis Sandpiper front, but also as a consortium, as a whole, that there were in this portfolio, not only some jewels, but really assets across the spectrum, that in the current market environment have significant liquidity and value. And we look forward to seeing that play out as we move forward.
Matt Kornack: Okay. Fair enough. Had a soft thought for that one, as you can imagine, but I'm sure you guys will do well on, on some of those assets on. On the Calgary office portfolio that was sold, can you just give us a sense -- I know that there was a large vacancy, so I'm not sure if there would be a big NOI impact subsequent could you give a sense as to what the NOI and Q4 attributable to that portfolio would've been?
Jaclyn Koenig: I, yeah, I can. So we can get that number for you. We don't have it right now, but I would say there was a significant amount of vacancy in the portfolio overall. So I think it'll be a, a fairly small impact. Obviously there will be an impact, but yeah, they definitely were not sold on a, a cap rate basis. It was more on a price per square foot basis.
Matt Kornack: Yeah, no, fair enough. Yeah, if it's possible, just so we don't miss on the modelling side and, and trying to attribute the, the Cap rate because yeah, it seemed like it was more per square foot number. And then lastly, for me from a, from a modelling standpoint, just on 360 Main in terms of the remaining capital outlay on that, as well as kind of timing, I know multifamily in particular can be a little bit lumpy in terms of when it comes on and lease up and, and the impact there. But can you give us a sense as to how that's progressing, how we should think of lease up and, and the NOI contribution there?
Jaclyn Koenig: Yeah, so we have occupancy, as Samir mentioned, Earls [ph] will be opening in the next few weeks, which is, which is very exciting. So there will be some NOI contribution towards the end of the year. They have a, a few months of free rent, and then we're looking at occupancy for the first 20 floors, kind of towards the latter part of the year. So again, NOI coming on late Q3, early Q4 and we're already preleasing and, and have a lot of good activity and interest there. So we're excited about that, excited to see some NOI coming on and, and the project getting closer to completion.
Matt Kornack: And I guess as we look at 2023 is that a fully stabilized year, or should we kind of think of it as being stabilized in the second half of 2023?
Jaclyn Koenig: Yeah, definitely the second half of 2023, so the first 20 floors will be 2022, still just coming online and lease up progressing in 2023, the second half will come on for the top 20 floors. So they will still be in that leasing stage probably throughout most of 2023; so kind of towards the end of 2023, hopefully stabilizing in 2024.
Matt Kornack: Okay, perfect. Thanks. Appreciate the color guys.
Samir Manji: Thank you.
Operator: And your next question will be from Jimmy Shan at RBC Capital Markets. Please go ahead.
Jimmy Shan: Thanks. Hey guys.
Samir Manji: Hey, Jimmy
Jimmy Shan: Wanted to get a better understanding of the, the cap structure of the new entity of Cominar; Presumably you'll be disclosing that next quarter, but kind of around numbers. What does a capitalist stack look like?
Samir Manji: More interest in Cominar, then there is an Artis on this call, but you for the question Jimmy. We are not we have not disclosed the overall cap structure. One again, can do some back of the envelope math on what our equity ownership interest and the corresponding ratio, the, that those dollars represent would reflect in so far as the total equity that has been invested in the privatization. And from there, one can glean, that behind that equity is a significant amount of leverage, but it's a level of leverage that the consortium is very comfortable with relative to the intrinsic value of the underlying real estate. And so it does have multiple components in so far as the debt, side of it including mortgages line of credit. We still have some work to do and some determination to be confirmed around what the debenture holders wish to do, that have the option in the next 30 days to be able to redeem or, or to maintain their ownership in most of the series involved within the historic Cominar structure. And so, again, we're very comfortable with what this all translates into. We are going to focus, as I mentioned earlier over certainly 2022, in reducing significantly the leverage within that overall capital structure. And that should get us to a far more reasonable overall leverage ratio as it relates to fair value or intrinsic value of the assets.
Jimmy Shan: Okay. And then the press equity beyond the hundred million dollars that Artis own. What's the size of the total equity bucket? Is it just a hundred million?
Samir Manji: So again, that -- so again, that that's part and parcel of the overall capital structure. I actually view both the junior and the senior preferred as leverage. So consider the a hundred million and whatever the senior trance or piece of the structure is, consider that as again, part of leverage. And we anticipate that alongside the other debt elements that, that collectively will continue to reduce in an accelerated manner over the course of 2022.
Jimmy Shan: Okay. And, sorry, just on the preferred equity again, the, so the, to pick coupon through your term, but, you can't, but you can't be called earlier than a year. So that's why you kind of guarantee the 1.18. Is that how I think about it? So then, so then basically from an FFO impact, you got one year's worth of the, of income?
Samir Manji: That's Correct.
Jimmy Shan: Is that right? Yeah. Okay. and so presumably you guys are running kind of, who's leading the charge and making sort of asset allocation decisions and leasing decisions at, at common, our way presume would be you guys?
Samir Manji: We alongside our partners have established a formal governance structure. That includes a nine member Board. Artis has two Board seats within that group of nine Sandpiper has two Board seats. And so we feel very comfortable in the representation we have within that decision making body.
Jimmy Shan: Okay. Okay. And then just last for me on the office portfolio in, like the Twin Cities, Madison, maybe, can you just talk generally, what's, what's happening in those markets as far as leasing and maybe on the investment side, kind of, what, what, what activity are you seeing in, in those markets?
Phil Martens: I could take that question. Starting with Madison, Wisconsin, we remain quite pleased with zoom amount of activity that we are, that we are experiencing. We are actually accomplishing leases at larger leases. We've closed one that is just 42,000 feet, and we continue to get strong interest from good credit tenants. And so pleasantly surprised how it has with stood this past couple years. And so we're hoping thing that will be soon over 90% occupancy. So we're quite pleased with Madison, Wisconsin, Minneapolis office. You have to in the sense bifurcate it between suburban and CBD as no surprise. And yet we've been also very encouraged with our progress on leasing, particularly at Stinson, and we can release that more in the next quarter, but we've, we've had some wonderful success releasing Stinson. For downtown, it remains a struggle, I think, for, for all land -- landlords. And yet we we've, we believe we've placed particularly Kenya and Pacific [ph] Plaza, in a position to respond quickly. We've got an excellent [indiscernible] package that we've been working on. And so it's teed up for suburban again, we've had decent activity, particularly at 61 Carlson. So we're finding that the office market in Minneapolis suburbs is strengthening.
Jimmy Shan: Okay. And, and thank you. And maybe just, if you're seeing any activity on the, on the sales side of things
Samir Manji: And Jimmy, are you talking just sort of general market conditions?
Jimmy Shan: Yeah, sort of on the investment sides; yeah, I just kind of wondering, like how, how liquid is the market today, given what's going on?
Phil Martens: There have not been a lot of transactions and we are, we are watching paying more attention. One example would be crossing CPP, the history towers, and we're watching to see what [indiscernible] are going to do with that asset. And so we're yeah, we're watching, but there have not been a lot of transactions. People have been watching very closely how particularly with George Floyd scenario, that's happened in the last couple years and see how it plays out for Downtown. So we are looking, we are watching,
Samir Manji: I would just add Jimmy where we have seen liquidity, to Phil's earlier point is in the non-CBD or suburban markets there, even for Artis have been unsolicited LOIs that have been received for non-CBD assets.
Jimmy Shan: Okay, great. Thank you.
Samir Manji: Thanks Jimmy.
Operator: And your next question will be from Sumayya Syed at CIBC, please. Go ahead.
Sumayya Syed: Thanks. Hi everybody. Just to start off with the NCIB activities. So the stocks had a good run. I think it's close, it's three or four year highs, and it's still at a discount to now wondering at what minimum discount, if it's 20%,15%, 10%, you would see your units as a compelling investment compared to other opportunities you may be exploring?
Samir Manji: Yeah, we, we review this at recorder with the investment committee and the Board and establish ranges that we are comfortable with for our auto buyback within the NCIB. We are not drawing a line at this point on what that number is. Again, we want that flexibility. The Board wants that flexibility, what we would say today when Artis is trading at a 25% discount to our net asset value, roughly we certainly believe it represents a compelling opportunity for unit holders to have the NCIB active.
Sumayya Syed: Okay. and you touched on this a little bit, but just wondering in terms of your view on what you could execute this year on asset sales and what asset cloud or market you're seeing or would be seeing the best prospect for?
Samir Manji: Yeah, we, from a, a planning perspective we are focused on monetizing a certain office assets of ours in particularly in the U.S in light of the large Canadian dispositions, a large number of Canadian dispositions we did in 2021. Having said that, as we commented on earlier the opportunity on behalf of unit holders to consider other possibilities as things continue to evolve in the overall marketplace, including unsolicited interest that we might receive, we're going to be very open-minded and do what the Board ultimately believes is in the best interest of the owners.
Sumayya Syed: Okay, thanks. And just lastly on the investment and dream office, is it fair to characterize that as a strategic, but passive investment?
Samir Manji: I, I would say that it is certainly a strategic investment for Artis. I don't think Artis will ever do something that I would describe as purely passive. And so we we've had good engagement with the represent representatives from dream office, including Michael Cooper. We like what they're doing. We like the opportunities represents again from an intrinsic value perspective. And so I don't, I don't think we will ever be truly passive in any investment we make with our unit holders capital.
Operator: Okay. Thanks for the color. I'll turn it back.
Samir Manji: Thank you, Samaya.
Operator: And your next question will be from Mike Markidis at Desjardins. Please. Go ahead.
Mike Markidis: Just follow-on Samaya question on dispositions perhaps just a, a volume ballpark even if it's a wide goal post, what we should be thinking about it in terms of total dispositions, [indiscernible]?
Samir Manji: I think that rather than giving you goal post I'll certainly give you a floor. We anticipate a minimum of $500 million this year of dispositions. And again, I can't -- none of us can predict the future including as we touched on already any unsolicited interest. If we get interest at values that we believe are compelling and would be worthwhile for the Board and its investment committee to consider, that that's a decision that will ultimately rest in those in the hands of the those individuals in obviously collaboration with management and recommendations, we would make to the investment committee in the Board, but $500 million would be certainly a floor that one could anticipate.
Mike Markidis: Okay, great. Thanks. And then I think you mentioned earlier in the call correct me if I got it wrong, but the Phoenix area and Western Canada retail industrial are sort of the being identified as the core growth in terms of direct asset ownership for Artis. So, should we take that to mean that the dispositions would likely be outside of those markets?
Samir Manji: Generally speaking I think that that would be a fair assumption.
Mike Markidis: Okay. Thank you for that. I'd hate to be the only person that didn't ask a Cominar question. So I'll go with that but is there, I guess, first off presumably there's a, there's a term in terms of a time a term to the, this private vehicle. Are you able to share with us what the finite life would be for the vehicle?
Samir Manji: No, the, the consortium led by Canderel, has made it very clear that they that the investor group together is very excited about this investment and particularly some of the unique inherent dis development possibilities within certain assets. And anyone of course, familiar with development knows that's not a short term exercise. So the, the structure and some specifics around that, again, we, we want to be thoughtful and respectful of our partners in what we're sharing but suffice it to say that I think there's going to be certain assets that would have a shorter term strategy associated with them and others that will have a longer term plan ahead of us.
Mike Markidis: Okay. And do you -- is it possible that's road, the life of this vehicle, that Artis aside from potentially to some, but you're not going to buy any of the assets, or you're not thinking about it anyway, it's too hard or with much bigger, but is it possible that you'd have to make an additional capital contribution to execute in this strategy? Or would you say that you've extended all the the capital to this vehicle that you you're willing to at this structure?
Samir Manji: We think the probability of having to make an additional capital investment is very low.
Mike Markidis: Okay. Thank you. And then last one for me on that topic, the 18%, profit's pretty easy, but perhaps you guys could help us out with just what the FFO yield on your common equity piece would be just at least for a run rate basis to model initially, that would be helpful.
Samir Manji: Yeah, I, I don't we don't have that visibility at this point. Again, there's a lot of moving parts with respect to this investment as we just closed and are now going to have the opportunity through the governance structure. I touched on earlier, where we also have an investment committee, we have an audit committee, standalone within that structure to really get under the hood and to be able to now navigate forward as the owners of Cominar and to the extent that we do have greater visibility on that level of detail moving forward. We will certainly attempt to, to share that on future quarterly calls. But for now as was conveyed earlier, this is going to be a one line item on our financials under equity investments. And we will, we will leave it at that.
Mike Markidis: Okay. And back to Artis then, just as we think of that for $500 million floor for dispositions how should we be thinking about the allocation of that capital going forward? Is it, is debt reduction still a priority unit five backs at the current level, or are on the table? Maybe additional comments they would be helpful?
Samir Manji: Yeah, those would certainly be the two natural areas from a capital allocation standpoint. One could anticipate certainly the debt reduction side, where we remain committed to maintaining sub 45% leverage. And we may even see that go sub 40, depending on timing issues and capital flow issues of that capital flow related to timing. And then on the NCIB again, it's going to be largely a product of where our units trade and the discount that we touched on earlier that would make keeping the NCIB active, when we continue to trade at a significant discount in place, and then likely looking certainly from an exploratory standpoint at additional investment opportunities, whether it is in industrial development whether there could be potential opportunistic acquisitions and then of course the public security side.
Mike Markidis: Okay. And when you guys look at the sub 45 leverage, is that a look true on a proportionately consolidated basis, or is it just based on the assets that are on the balance sheet?
Samir Manji: No, that's on assets on the balance sheet having said that, longer term, we're not looking to take on higher leverage, even off balance sheet in the short-term, when I think about the Cominar investment, there, there would be elevated leverage there. But I've already touched on the fact and commitment that the consortium has made to seeing that materially reduce in 2022. And we're already in the first few days of our acquisition, we're already well underway again, based on unsolicited LOIs and interests that we have had to inbound.
Mike Markidis: Okay, great. Thanks very much for the call.
Samir Manji: Thank you.
Operator: [Operator Instructions] Next will be Mario Saric at Scotia Capital.
Mario Saric: All right. Thank you for taking the questions. Just couple on the disclosure side. When at Cominar, you mentioned that it was going to be, or it is going to be equity accounted from an investment standpoint. Is it fair to say that you decided that you won't be providing any proportionate disclosure in the coming quarters, or is that still a possibility?
Samir Manji: We tested our MDNA in Q4 and this was to address information provided in the national instrument, 52 12. So we moved our MDNA now to report on our consolidated IRS numbers. That being said, we've included a new section, which is our equity accounted investments where we're providing additional information on those assets separately. So we are no longer providing a proportion share balance sheet income statement, but all the relevant information can be found in the, as new section.
Mario Saric: Right. I'm wondering whether, I guess itself will follow those in kind of applicable guidelines or whether given the size in the investment whether we could expect maybe a bit more disclosure, a bit less,
Samir Manji: We'll look at that in the coming quarter, as we close on the deal. But in our consulting financial statements, we are still required and we will be reporting our proportionate share of the balance sheet and income statements. So you'll have our financial statement information in there as well.
Mario Saric: Okay. And then just maybe another question on disclosure, or maybe perhaps better set on the intrinsic value of the company you mentioned kind of the 25% trading discounts through I, for us nav, which is based off of a stabilized NOI, as opposed to, let's say in place NOI, we can probably do the math, but do you have a sense in terms of what the gap is between kind of the Q4 21 NOI run rate and then the stable NOI that you're using in your eye for us have today?
Samir Manji: No, we don't, we don't have that information, but certainly we can try and see if that's something we can provide offline.
Mario Saric: Okay. Yeah, that'd be helpful. And then switching gears to the capitals cycling environment, more of a broader question. So not specific to a, a specific asset class geography somewhere, but how, how would you, how would you characterize the, the credit markets or the lending environment today given geopolitical risk that we're seeing in Europe relative to where it was three to four months ago. So like how, how, how conducive are the credit markets to you executing on kind of the minimum $500 million dispositions that you're targeting for this year?
Samir Manji: Our, our sense is that generally speaking, the credit markets are open are liquid and will support the efforts underway. And if we, if we look at what's happening just generally outside of certainly Artis' world it, it appears that, while of course our thoughts and our prayers are with the people of Ukraine as they are with people living in other parts of the world, where this instability and conflict has been in place for some time the, the world will continue to function and economies will continue to operate. And similarly, we think credit will be available in the in the near to medium term, as it has been historically, it may come depending on specific circumstances and borrowers at different costs or spreads. But again, we don't anticipate from a direct impact standpoint that that's going to have a material impact on Artis.
Mario Saric: And then when we look at the various asset classes that you're involved with, or are looking to become involved with, which asset classes stand out to you in terms of having the biggest disconnect or public private market valuation divide today?
Samir Manji: We we've certainly seen a narrowing of that Delta across multiple asset classes. If we look at what's happening, particularly with cap rates associated with retail and office which had during the pandemic being most dramatically impacted relative to what we saw with industrial and multifamily, industrial has come off a little bit as certainly in the a public markets context from a private market standpoint, industrial continues to be very robust. We continue to see cap rates breaking in new records in many markets, including some of the markets that Artis operates in. And again, from a private market standpoint, the same could likely be said about multifamily, despite the fact that when we look at the public space, certain multifamily names have come off a little bit from their 52 week high. And then again, on the other end, you see certainly with with retail and office we've seen a reasonable bounce back and we anticipate that's going to continue as the north American markets alongside other global markets continue to reopen. And we certainly hope and look forward to that reopening continuing at a, at a reasonable and sustainable pace.
Mario Saric: Okay. Thank you for the commentary.
Operator: Thank you. At this time, we have no further questions. I would like to turn the call back over to Mr. Manji.
Samir Manji: I'll pass it over to Heather.
Heather Nikkel: Thank you very much. Thank you very much operator, and thank you all for joining us today. We wish you and your family's health and happiness and a wonderful weekend ahead.
Operator: Thank you, ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time we do ask that you please disconnect your lines.